Operator: Greetings, and welcome to the Goosehead Insurance Second Quarter 2019 Earnings Conference Call. As a reminder, all participants are in listen-only mode and the conference is being recorded. [Operator Instructions] I'd now like to turn the conference over to your host, Garrett Edson. Thank you. You may begin.
Garrett Edson: Thank you. And good afternoon. With us today are your host Mark Jones, Chairman and Chief Executive Officer of Goosehead; Michael Colby, President and Chief Operating Officer; and Mark Colby, Chief Financial Officer. By now, everyone should have access to our earnings announcement, which was released prior to this call and which may also be found on our website at ir.gooseheadinsurance.com. Before we begin our formal remarks, I need to remind everyone that part of our discussion today may include forward-looking statements, which are based on the expectations, estimates and projections of managements of today. The forward-looking statements in our discussion are subject to various assumptions, risks, uncertainties and other factors that are difficult to predict and which could cause actual results to differ materially from those expressed or implied in the forward-looking statements. These statements are not guarantees of future performance and therefore undue reliance should not be placed upon them. We refer all of you to our recent filings with the SEC for a more detailed discussion of the risks and uncertainties that could impact the future operating results and financial condition of Goosehead Insurance. We disclaim any intentions or obligations to update or revise any forward-looking statements, except to the extent required by applicable law. In addition, this call is being webcast and an archive version will be available shortly after the call ends on the Investor Relations portion of the Company's website at www.gooseheadinsurance.com. With that, I'd now like to turn the call over to CEO, Mark Jones. Please go ahead.
Mark Jones: Thanks, Garrett. And welcome to our second quarter 2019 earnings call. As we've done on previous calls, I will provide an overview of the quarter and year-to-date, as well as discuss our long-term strategy. I'll then hand the call over to our President and Chief Operating Officer, Mike Colby, who will update you on our latest technology enhancements and how our ongoing innovation continues to support our high levels of sustained, rapid organic growth and profitability. Our CFO, Mark Colby will then follow and provide more details about our second quarter and year-to-date results. During the second quarter, we continue to demonstrate the effectiveness of our strategy and our execution capabilities with growth continuing to accelerate. We delivered revenue growth of 31% to $19.4 million, and written premium growth of 46% to $194 million compared to the second quarter of 2018. The largest contributor by far to the difference between revenue and premium growth was the mix of new business being more heavily weighted to the Franchise Channel. As a reminder, our share of first term revenues earned in the Franchise Channel is 20%, while our share of renewal revenues grows to 50%. With the Franchise Channel contributing 73% of new premiums for this quarter, we have spring-loaded future revenue and earnings growth, as that business converts to renewal revenue next year. We also continue to invest heavily in our talent and technology enhancements with terrific results. Mike will discuss our progress with our key technology initiatives in a minute. Total franchise unit count grew 55% from the second quarter of 2018 to 765, as our franchise sales team had another strong quarter. And operating franchises grew 39% to 535. We are very encouraged by the growth in productivity, we are seeing in the Franchise Channel, where unit productivity is up in Texas and nationally compared to the prior year, which is a combination of four things. One, we are recruiting higher quality agents over time; two, our investments in pre-launch training and development are bearing fruit; three, our training programs continue to improve; and four, post-launch agency support enhances the ability of new franchises to become productive quickly. Corporate sales headcount grew 44% from 2018 to 213. As a reminder, our Corporate Channel is a crucial element of our competitive advantage. This channel is where our technology, our sales processes and our best practices are tested and refined, and are then rolled out to our franchises nationwide. We could not accomplish what we do in the Franchise Channel in the absence of our Corporate Channel. For the second quarter, adjusted EBITDA grew 17% to $4.7 million as profits generated by our renewal business more than offset our investments in technology and talent. Policies in force increased 45% from the prior year to 408,000, and we maintained our industry-leading client retention rate of 88%, and world-class Net Promoter Score of 90 year-to-date. As we look to the back half of 2019, we feel like we are firing on all cylinders. Premium and top line growth in the first half of 2019 has been excellent and we've made significant strides in onboarding new talent across the company. We also continue to innovate on the technology side, and all of this has done to further position ourselves to rapidly and responsibly expand our market share, and significantly grow our business and profitability over time. I would also like to remind our investors that management continues to be fully aligned with you. We own approximately 67% of the company and these holdings represent the overwhelming majority of each of our individual net worths. We remain fully committed to the long-term success of the company. As I've said before, our management team is devoid of mercenaries out to make a quick buck and then jump ship. We have worked together for a very long time to build this company to what it is today and intend to continue to be fully invested in reaching our full potential, industry leadership during my lifetime. Our premium growth continues to accelerate and we're seeing continued improvement in the productivity of our Franchise Channel. We grow more and more confident each day about achieving our goals for the year. I would like to thank every member of the Goosehead family who worked tirelessly every day as we build this great American business success story together. Our people are our most powerful competitive advantage and I'm grateful for the opportunity to service their leader. I'll now turn the call over to Mike to update you on the progress of some of our recent technology initiatives.
Michael Colby: Thanks, Mark, and hello to everyone. We continue on our technology innovation path, making strong progress over the second quarter. And I am excited to provide an update on our current initiatives, along with brief updates to initiatives we've discussed previously. We announced on our prior call that a client-facing technology interface was under development. And we're excited to announce today that we've completed the first version of our online client portal. Consistent with our omni-channel strategy to engaging our clients, we set out to build an intuitive and robust portal for our clients to manage their accounts in a self-service capacity and engage us in their ongoing insurance needs directly online. Our first version of the client portal is focused on a new client onboarding process where clients will have a simple and intuitive way to create an account, manage their communication preferences, sign their documents and upload supporting documents. Additionally, they'll be able to view all of their policies across multiple insurance carriers in one place, engage our service agents’ real time via chat functionality, and monitor the progress of their open service request. This portal is mobile optimized and we are currently working to develop a mobile app on the iOS and Android operating systems. We've rolled this out to a subset of our clients and expect to have this rolled out to all new clients in the coming weeks. While our first version is indeed focused on the new client onboarding and new policy issuance processes, it's worth noting that the majority of service work occurs within these processes. We're excited to make this valuable tool available to our clients and we expect strong adoption and a meaningfully improved client experience. As we continue to invest in deeper system integrations with our carrier partners, we'll be able to provide more robust self service capabilities within the portal. Investments we've made in carrier and database system integrations to-date, along with these early investments in providing a tool for our clients to engage us directly online are the building blocks that will eventually be used to provide a complete quote to issue experience online. We also believe the client facing portal can be a resource for our agents to engage their referral partners, further differentiating our value proposition in the home closing process and helping to establish Goosehead as the number one provider of insurance services in the U.S. to the new homebuyer. This is exciting progress toward a vision of providing the complete choice model and agent experienced direct to consumers and referral partners online, allowing us to serve our clients in ways unseen in the industry today. Second, we've made significant strides in launching our first artificial intelligence application focused on improving client retention in our service centers. Over the first half of the year, we've migrated the entire organization to a new user interface within Salesforce that is compatible with this AI application. This was no small feat, requiring significant development work, training and change management efforts. We've also built the predictive analytic model that will be the backbone of our AI capabilities. Now, we are developing the component within the user interface that will provide real time insight to our service agents on next best actions during a live client interaction to maximize the probability of retaining that client with us. This is scheduled to be rolled out in the coming weeks. As we mentioned on the last call, managing client retention is the longest economic lever. However, there are many value-added use cases for this new technology, including applying it in our recruiting, sales and quality control processes. As the AI system continues to learn and as we accumulate more data in our integrated voice solution, the power of this tool and its predictive capabilities will compound. In addition to taking these two major initiatives across the goal line, we continue to rollout our comparative rating solution in new states, mainly states that are adjacent to our larger markets. Currently, the integrated comparative rating solution is available in states where over 90% of our new business revenue has generated. I'd like to echo Mark's comments and thank the entire Goosehead family for their enthusiastic support of these new technology initiatives, their unyielding commitment to excellence and their willingness to manage through consistent change in order to defend and grow our competitive advantage. We look forward to providing you with more updates on future calls. And with that, I'll turn the call over to Mark Colby to provide some color on our second quarter.
Mark Colby: Thanks, Mike, and good afternoon to everyone on the call. For the second quarter of 2019, we grew revenue organically 31% to $19.4 million compared to $14.8 million in the prior year period. This improvement was driven by strong growth in both our Corporate and Franchise Channels, from new and renewal business. Not yet reflected in these numbers is significant embedded future potential revenue growth due to high levels of new business premium being written in the Franchise Channel. Total written premiums during the quarter, which is a crucial leading indicator of future revenue growth increased 46% year-over-year to $194 million. Franchise Channel total written premium grew 56%, implying significant future revenue growth, as the new business premiums convert to renewal premiums, and we increased our royalties from 20% to 50%. As Mark mentioned, this was the largest driver of the delta between total written premium growth and revenue growth. At the end of the quarter, we had over 408,000 policies in force, a 45% increase from one year ago. We continue to generate consistent rapid year-over-year growth, positioning us well for long-term success. Total adjusted EBITDA was driven by higher margin renewal revenue in both channels, producing 17% year-over-year growth to $4.7 million, while adjusted EBITDA margin was 24% compared to 27% in the prior year period. Adjusted EBITDA margin was impacted by additional employee compensation and benefits related to investing in the hiring of corporate agents and franchise sales agents, material investments in technology and additional public company costs. We continue to remain focused on investing in our talent in technology to support our high levels of agent and franchise growth. And the cost of most of these investments immediately run through the P&L. However, we remain confident these investments will help fuel sustained revenue growth in long-term margin expansion as the new business premiums we are winning reliably convert to more profitable renewal premiums. In the second quarter of 2019, our Corporate segment grew revenues 25% over the prior year period to $10.7 million. This growth was driven by a 30% increase in new business revenue, primarily due to a rise in corporate agent headcount and a 22% increase in renewable revenue due to sustained high levels of clients retention. Our Net Promoter Score, which is the key metric of our service team and the key driver of our exceptional retention stands at 90, up from 87 a year ago. As of June 30, 2019, we had 213 corporate sales agents, up 44% from one year ago, driven by the hiring of recent college graduates during our seasonally strongest recruiting months. As we've noted consistently, we manage the business on a long-term basis, focusing on ramping up our new agents’ production over time, typically two to three years. These increasing levels of production ultimately convert into higher margin renewal revenue, resulting in high levels of sustainable profitability. Additionally, our Corporate Channel's contributions to our Franchise Channel's rapid national expansion cannot be overstated. Not only do they help develop best practices and technology, they are crucial to our recruiting efforts in our ability to train new and existing franchises on our most recent developments. Adjusted EBITDA in the Corporate Channel grew 23% over the prior year period to $2.3 million. Adjusted EBITDA margin was 22% consistent with the prior year period. The growth in adjusted EBITDA was primarily due to the growth in renewal revenues, which more than offset the company's continued investments in growth of corporate sales agents. Our Franchise Channel generated revenues of $8.7 million in the second quarter, a 39% improvement from the prior-year period, driven by the greater royalty fee generated on renewal business versus new business, and higher royalty fees from a larger number of operating franchises. We are very proud of the 39% revenue growth in the Franchise Channel, but our long-term enthusiasm lies in the future revenue growth embedded in our current new business premium as business converts to renewal, and our share of revenue grows to 50% from our new business share of 20%. As of June 30, 2019, we had 765 total franchises, up 55% from the prior year and 535 operating franchises, up 39%. As we continue to invest in the refinement of our recruiting, training and onboarding processes, we have been seeing significantly higher levels of franchise production. Our franchise pipeline remains robust and we are continuing to grow our franchise recruiting team to advance this channel's rapid growth. Adjusted EBITDA for the Franchise Channel in the second quarter was $2.9 million, up 33% from the prior year period, while adjusted EBITDA margin was 34% versus 35% in the prior year period. Adjusted EBITDA margin was impacted by the recognition of initial franchise fee revenues and the additional investment in our franchise sales department, and mostly offset by higher margin royalties related to policies in their renewal terms. Net income in the second quarter of 2019 was $2.8 million compared to a net loss of $23.9 million in the prior year period, which was entirely due to IPO related non-cash equity compensation cost in 2018. Included in our second quarter 2019 results were approximately $368,000 in equity-based compensation costs. When adjusting for these expenses, adjusted EPS in the second quarter of 2019 was $0.07 per share. For the six months of 2019, our revenues grew 45% to $42.5 million, driven by higher commissions, agency fees, franchise royalty fees generated by the renewal business, and an increase in contingent commissions received. Total adjusted EBITDA for the first six months of 2019 rose 56% to $14.2 million, while our adjusted EBITDA margin was 33%, up from 31% in the prior year period. Total written premiums for the first half of 2019 have grown 46% from the prior year to $341 million. It has been a rock solid first half of 2019 for Goosehead, and we remain very well positioned to grow rapidly and responsibly for the remainder of 2019 and beyond. As of June 30th, we had cash and cash equivalents of $8.4 million after paying the $15 million dividend declared in March, as well as $48 million of debt outstanding. Because of our strong EBITDA growth, our debt to EBITDA ratio has shrunk to 2.1, which allowed us to access a lower interest rate tranche of LIBOR plus 200 basis points, a 50 basis point improvement. We expect to further de-lever during the remainder of 2019, and we will evaluate our leveraging cash position early in 2020. Finally, as Mark noted in his remarks, we grow more confident each day about achieving our goals for the year, and are maintaining our full year 2019 outlook with respect to total written premiums and revenue. Total written premiums placed for 2019 between $700 million and $725 million, representing organic growth of 38% on the low end of the range to 42% on the high end of the range. Total revenues for 2019 between $80 million and $85 million, representing organic growth of 33% on the low end of the range to 41% on the high end of the range. As noted before, our 2019 revenue guidance is based on ASC 605 accounting. We will report under ASC 606 on the Form 10-K for the year ended December 31, 2019. But we will provide a reconciliation at that time, so investors can understand our performance under ASC 605. With that, I thank you for your time. And we'll now open up the call for Q&A. Operator?
Operator: Great. Thank you. At this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question here is from Jay Cohen from Bank of America. Please go ahead. I'm sorry, Jay, you may be on mute by accident. One more time. Jay, you maybe on mute. Your line is in queue here. Now, we'll go to next question here from Christopher Campbell from KBW. Please go ahead.
Christopher Campbell: Yes. Hi. Good afternoon, gentlemen.
Mark Jones: Hi, Chris.
Michael Colby: Hi, Chris.
Christopher Campbell: Hi. So Mark, you had mentioned I think in your opening script about you guys are doing a lot of work behind the scenes, trying to get like higher quality agents. So I guess like where -- like have you seen like a tangible impact on your productivity for the franchisees? And then, if not, when would you expect to see that start to ramp up?
Michael Colby: Hey, Chris, this is Mike. We are certainly seeing higher levels of productivity and higher quality revenue from these agents. Now, if you remember, it takes these new franchisees a full two to three years to fully burn in, but the early indications leave us to be very optimistic, very positive. So it's a combination of recruiting better agents, but also having them better prepared through our training process, and better supported after they get out of our initial training. So we remain very optimistic there.
Christopher Campbell: Okay, got it. And so are you seeing more like positive? Are you seeing like a higher first year productivity out of the newer agents than maybe you did in like the 2018 cohort?
Michael Colby: Well, I mean, it's been a consistent incremental improvement. I mean this is nothing new to us as an organization. We've been focused on improving our recruiting capabilities, improving our training and onboarding capabilities since we've started franchising. And we're certainly seeing continued progress on that end.
Christopher Campbell: Okay, great. And then I'm thinking about lower interest rates like LIBOR has come down significantly year-to-date. What impact is that having on your homeowners like refinancing leads for homeowners insurance? And are you seeing like a pickup in business like with people expecting like rates to decline a little bit further with like the -- just like the Fed rate decrease?
Michael Colby: Without speaking to the broader housing market, I can tell you certainly in Texas, which is our largest market, where we have the highest level -- highest market share, we're seeing a very healthy housing market, and our agents are generating very high levels of lead flow. Is that from housing market tailwinds, could be. But I think it has a lot to do with the technology we are rolling out in the strong user adoption. So I mean it's worth pointing out that regardless of what -- any type of volatility in the housing market, if you look at our relatively low market share here in Texas and certainly outside of Texas, where we don't even register, we're not feeling kind of the impact of those macro cycles, at least over any extended period of time.
Christopher Campbell: Okay, got it. Thanks for that color. And then just switching to auto. Thinking about like the auto market, what we've seen in somebody like the -- kind of like the BLS surveys and things like that, is just like a huge drop in rate. So I mean is that driving more shopping behavior because what we've heard is kind of a mixed bag is that rates have come down, but then that's driven less like online shopping and things like that. So I'm just trying to get an idea of are you seeing, like a pickup in shopping behavior in for auto leads?
Michael Colby: For us, Chris, as an independent we -- the beauty of being an independent broker is that the client relationship stays with us. And as carriers decide to take rate or reduce rate, it changes, maybe, the mix of our carrier mix in our production, but the client relationship stays consistent with Goosehead. And that's why you're seeing those consistent levels of client retention.
Mark Jones: Yes. And I'll add, Chris. If you think back to our go-to-market strategy of leading with the home and cross-selling the auto, we might feel those impacts a little less than your normal agency.
Christopher Campbell: Okay, got it. And maybe just a few numbers questions. Is there a breakout -- can you give a breakout of $194 million of premium like how much of that is Texas and non-Texas?
Michael Colby: We don't disclose those numbers. In the queue, that will come out tomorrow, you'll see kind of a breakout of Franchise and Corporate, and new business in renewal, but we don't break that out by state. But I'll say kind of high level, if you look at our premium breakout by state, about 75% is in Texas and that's come down over time.
Mark Colby: Yes.
Christopher Campbell: Okay, got it. And what would that have been like -- I'm sorry. Go ahead.
Mark Jones: Sorry. The overwhelming majority of our new agent growth is coming from outside of Texas.
Christopher Campbell: Okay, got it. And what would that have been like a year ago? I'm just trying to get an idea of, like how quickly you guys are diversifying into these other states.
Mark Jones: Yes, sure. So I think if you look back a year ago, it's probably 80% -- 82%.
Christopher Campbell: Okay, got it. So 82% of your business would have been Texas a year ago, and now it's like 75%?
Mark Jones: Yes.
Christopher Campbell: Okay.
Mark Jones: So we're rapidly expanding outside of Texas.
Christopher Campbell: Okay.
Mark Jones: If you look at our 2018 franchise launches, I think between 80%, 90% of them were outside of Texas, and that trend has certainly continued into 2019.
Christopher Campbell: Okay, great. And then just one last one. So I think you had mentioned like investing to improve retention. Are there other areas inside the business where like you're looking to I guess invest more where you think you could get a high ROE that we on the outside, just beyond distribution and things like that, that you think it would improve the business?
Mark Colby: I think that holds true across every aspect of our business, Chris. I mean just culturally as an organization; we are committed to continuum improvement and innovation. And that's what helps us maximize the distance between us and the next competitor. It's something that we're highly focused on across the entire business.
Mark Jones: Chris, it's Mark Jones. We have teams scattered throughout the Company whose -- it is not their only job, but these are experts, the people are actually doing the jobs that are solely focused on innovation. And how do we use our technology to get more productivity, how do we do things better, smarter, faster, higher quality, lower cost. So part of this is a little bit of a kind of the Bain legacy of being strong believers in the experience curve. We very aggressively manage to an experience curve. And so these things are happening constantly as we go every day.
Michael Colby: Chris, just to add one more thing to Mark's point. We talk about some of the really big technology initiatives that we're doing and we talk about those consistently on every call. But you know in 2018, we had over 500 technology -- different technology enhancements that we rolled out over the course of the year. And in a lot of ways, it's the accumulation of those small incremental changes that over time are the biggest drivers of our evolution. So it's something that we're always focused on.
Christopher Campbell: Okay, great. Well, thanks for the color. Best of luck in the third quarter.
Mark Jones: Thanks, Chris.
Operator: The next question here is from Jay Cohen from Bank of America. Please go ahead.
Jay Cohen: Can you hear me now?
Mark Jones: Hi, Jay. We can hear you.
Jay Cohen: Sorry. So there was a button mute, I thought it was an acronym, but it was mute. I figured it out.
Mark Jones: The fact that you're not sure tells you that you're getting old, Jay.
Jay Cohen: I think so. Hey, I did listen to all of Chris' questions and some of them were mine, anyway, so worked out well. It does seem like you're certainly investing to improve retention. Your retention is already quite high. Can you get it a much higher or these investments just designed to kind of keep it where it is?
Mark Jones: Well, even a single point of retention gain when you're at 88% is really, really valuable on the margin. So we are -- we want to protect what we've got, but we are always reaching for more and always will continue to do so. And that involves a lot of things. That's one of the reasons why we invest so heavily in our service center, and making sure that our service center is the best in the world at what they do. And we're confident that they are. That's one of the reasons that we push so hard on packaging to make sure that there is no hen -- there is no fox in the henhouse with our clients, where you may have a policy with them and another agent has another line of business. And so that other agent is constantly peppering the client for your line of business. We -- so we focus on that, that helps with retention. Our AI initiatives are helping with retention. It is the longest-lever, so any incremental gain we can get is good and worthwhile.
Jay Cohen: Got it. That's helpful. And then relative to franchise recruitment, you suggested that the quality of the franchisees is improving. And I guess I would have expected over time it'll be tougher and tougher to find the right people for your firm, but it seems to be getting better. Is that simply a matter of a larger number of recruiters?
Mark Jones: That's part of it, Jay. And if the size, the population of the target audience was a lot smaller, we might see dilution over time. But that's just so large. I think right now we have close to 70,000 leads in our pipeline. And so it's just a huge target rich environment. We have better -- so our franchise sales people are better trained. Run the cost, we can disclose this. We had -- we saw...
Jay Cohen: Sure.
Mark Jones: We increased headcount by...
Mark Colby: 30%.
Mark Jones: 30% with franchise sales and increased signings...
Mark Colby: 51%.
Mark Jones: Right, 51%.
Mark Colby: Yes. And that's year-over-year.
Mark Jones: Year-over-year. So we're just -- we're getting better at everything we do. We're constantly focused on how do we do this better.
Mark Colby: I think to Jay, as we see more success stories across every state that we're in, that really helps with your recruiting efforts, when you have agents who are working the model and seen a lot of success across the entire country. So it definitely helps with that.
Jay Cohen: Got it. Helpful answers, guys. Thank you.
Mark Jones: Thanks, Jay.
Mark Colby: Thanks, Jay.
Operator: [Operator Instructions] As there are no further questions, I'd like to turn the floor back over to Mr. Jones for any closing comments.
Mark Jones: Just would like to thank everyone for dialing into the call. We appreciate your interest and appreciate your support. And you've got our commitment to do our best to deliver a great third quarter and more importantly, a great several years into the future.
Operator: This concludes today's conference call. You may disconnect your lines at this time. Thank you again for your participating.